Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Cirrus Logic Second Quarter Fiscal Year 2017 Financial Results Q&A Session. At this time, all participants are in a listen-only mode. After a brief statement, we will open up the call for questions from analysts. Instructions for queuing up will be provided at that time. As a reminder, this conference call is being recorded for replay purposes. I would now like to turn the conference call over to Mr. Thurman Case, Chief Financial Officer. Mr. Case, you may begin.
Thurman K. Case - Cirrus Logic, Inc.: Thank you, and good afternoon. Joining me on today's call is Jason Rhode, Cirrus Logic's President and Chief Executive Officer; and Chelsea Heffernan, our Director of Investor Relations. Today we announced our financial results for the second quarter of fiscal year 2017 at approximately 4:30 P.M. Eastern. The shareholder letter discussing our financial results, the earnings press release, including a reconciliation of non-GAAP financial information to the most directly comparable GAAP information, along with the webcast of this Q&A session are all available at the company's Investor Relations website at investor.cirrus.com. This call will feature questions from the analysts covering our company, as well as questions submitted to us via e-mail at investor.relations@cirrus.com. Please note that during this session, we may make other projections and other forward-looking statements that are subject to risks and uncertainties that may cause actual results to differ materially from projections. By providing this information, the company undertakes no obligation to update or revise any projections or forward-looking statements whether as a result of new developments or otherwise. Please refer to the press release issued today, which is available on the Cirrus Logic website, the latest Form 10-K and 10-Q as well as other corporate filings made with the Securities and Exchange Commission for additional discussion of risk factors that could cause actual results to differ materially from current expectations. And I'd like to turn the call over to Jason.
Jason P. Rhode - Cirrus Logic, Inc.: Thank you, Thurman. Before we begin taking questions, I'd like to make a few comments. For a detailed account of our financial results, please read the shareholder letter posted on our Investor Relations website. Cirrus Logic reported Q2 revenue of $428.6 million, above the high end of guidance as demand for certain portable audio products exceeded our expectations. We are delighted with our progress in the September quarter. The company began volume shipments of our first digital headset solution and the new boosted amplifier. We are also excited to have broadened our penetration in mid-tier smartphones as we recently began shipment of a smart codec at another leading customer. While we are proud of our success, we remain focused on the strategic initiatives that we believe are essential to drive opportunities in FY 2018 and beyond. With a diverse portfolio of products that address a wide range of technical and cost requirements, we are participating in markets that are in the early stage of development and have the potential to foster growth for multiple years. We are incredibly excited to be a leading supplier of innovative audio and voice technology and believe the company's future is bright. Before we begin the Q&A, I would also like to note that while we understand there is intense interest related to our largest customer, in accordance with our policy, we do not discuss specifics about our business relationship. Operator, we are now ready to take questions.
Operator: Thank you. Your first question comes from the line of Matt Ramsay from Canaccord Genuity. Your line is open.
Matthew D. Ramsay - Canaccord Genuity, Inc.: Thank you very much. Good afternoon, guys. Jason, I wanted to ask if we could get a little bit of an update on your MEMS microphone business? Obviously, there's been tremendous progress that you made in recent product cycles with your core codec and amplifier business. But it seems to me that the next step in the company's transformation and continued growth is on the microphone side, particularly as ANC headsets ramp in the market. Maybe you could give a little bit of a progress report about how the microphone business is trending and how close you feel you might be to a point where you guys could sole source microphones in a ANC headset design regardless of vendor?
Jason P. Rhode - Cirrus Logic, Inc.: Sure. Yeah. I don't know that I would say it's the next step. We're still working through it and making good progress. If I look at the list of the technical challenges we had this time last year versus now, it's a lot shorter than it was. So I'm really pleased with the progress the team has made there. That said, microphones are very, very challenging and our goal, we think the first major value proposition we can bring there is delivering the same sort of no surprises kind of product to our customers that they come to expect in our silicon. As it relates to single source, there are certainly volumes and opportunities where we can single source microphones, particularly for headsets, where we can support that kind of volume pretty reasonably. And if we have a yield issue, we obviously don't want to put ourselves in a position where you're going to be reading about our microphones in the newspaper. So we're still approaching that pretty cautiously. Of the various different growth vectors that we believe we have, it's probably one of the ones that's further out there. I do expect that we can continue to make progress and ship more microphones in the coming years than we do currently and certainly the opportunity is out there in a pretty meaningful way long term. Again, it's really a multi-step process. I think I've talked about this on past calls and meetings, that we first need to solidify the microphones around vendors that we believe can support big volumes and make sure that we're able to again deliver no-surprises type products. And then after that, we need to take and modify them or come to market with products that have our own IP embedded within. We really feel like being a supplier of the microphone and the codec on the other end of the wire has a significant advantage and that's what will allow us to get the kind of margins that we're excited about delivering. So it's kind of a multi-step road map. I'm pleased with the progress the guys are making, and just stay tuned on that, I guess.
Matthew D. Ramsay - Canaccord Genuity, Inc.: Thanks for the color there. Thurman, maybe for my follow-up, the non-GAAP gross margin in the quarter was up almost 3 full points over last year, and obviously a quarter where you're very customer-concentrated with a big ramp of a new product. So maybe you could just walk us through the pieces of that gross margin expansion and how sustainable we should think about that type of margin expansion for the company on a year-over-year basis going forward? Thank you.
Thurman K. Case - Cirrus Logic, Inc.: There's a lot of moving parts in margins. And as we talked about the September quarter, we had some supply chain efficiencies and high volumes that helped push that a little bit above the high end of our guidance. When we look at this quarter, we're comfortable with the guidance that we gave that's based on the visibility that we have and we would note that on a longer-term or sustainable basis, we still believe that our margin profile really looks at the 46% to 48% over the long term.
Matthew D. Ramsay - Canaccord Genuity, Inc.: All right. Thanks very much. I'll get back in the queue.
Jason P. Rhode - Cirrus Logic, Inc.: Thanks, Matt.
Operator: Your next question comes from the line of Tore Svanberg from Stifel. Your line is open.
Tore Svanberg - Stifel, Nicolaus & Co., Inc.: Yes. Thank you, and congratulations on the strong results. My first question, you mentioned in the shareholder letter that you launched the new ultra-low power smart codec with some innovative voice features. So, I was hoping you could elaborate a little bit on that product and is this a product that's mainstream and targeted at specific customers?
Jason P. Rhode - Cirrus Logic, Inc.: Yes. So we actually did a press release about that a few weeks back, so search back on that. That's the device we're talking about. There's a fair – and you can find it on our website as well for really gory details. But it's kind of a – it's a flagship level smart codec, a bunch of DSP cores, lot of memory, can be used to run basically the whole voice suite that we provide along with third-party algorithms and stuff from our customers. It's well-supported with our standard tools as well. It's another one of the products in the product line where they all use the same DSP core, the same tools and they support the same library of algorithms as one another. So if the customer is using say, a mid-tier smart codec, they can easily reuse that software and integration investment with this newer device or if the customer takes a plunge with this device first, then they can leverage that investment in their mid-tier product line as well. So tremendously powerful product for doing all manner of audio voice signal processing. We think it delivers a really difficult to beat power consumption from an always-on-voice type of standpoint and then a very efficient solution for the rest of the audio and voice suite as well. So definitely, it's something we're excited about.
Tore Svanberg - Stifel, Nicolaus & Co., Inc.: Very good. Then as my follow-up, now that there's more digital interface smartphones out there, how is the design activity change since then? And I guess, what I'm trying to get to here is the world kind of not looking back anymore and just going all in on digital and obviously getting rid of the traditional audio jack?
Jason P. Rhode - Cirrus Logic, Inc.: Well, I guess I'd hesitate to call it completely all in, but probably not too far from that. A big part of today's market is Fast followers and once they know what it is they're supposed to be following, they seem to try to do it pretty quickly. So yeah, there's a lot of design activity both based around the reference design that we – that we announced a while back as well as folks in the Android space trying to figure out how to implement similar functionality and similar products in the USB-C space. So that's – like we said in the opening remarks, it's a vector that we sort of expect to play out over a number of years, lot of interest there particularly. A lot of interest there, particularly – there's interest in the AMC stuff but there's especially in the basic digital headsets, I think people get the value of getting rid of the headphone jack and also trying to figure out, okay, what's step one in replacing the headset functionality that exist today and then what to expand from there.
Tore Svanberg - Stifel, Nicolaus & Co., Inc.: Phenomenal execution, guys. I'll get back in queue. Thank you.
Jason P. Rhode - Cirrus Logic, Inc.: Thanks, Tore.
Operator: Your next question comes from the line of Charlie Anderson from Dougherty & Company. Your line is open.
Charlie Lowell Anderson - Dougherty & Co. LLC: Thanks and congrats on really strong results.
Jason P. Rhode - Cirrus Logic, Inc.: Thanks.
Charlie Lowell Anderson - Dougherty & Co. LLC: There was a comment in the shareholder letter about a new customer. I think this was sort of in the CS3310 area that's going to be in new models with multiple smart codecs. I wonder if you could provide a little color on that new customer, maybe regionally, and is this a situation maybe you broke the bundle...?
Jason P. Rhode - Cirrus Logic, Inc.: Yeah. I think. Well, yeah. Actually it was – it's a new customer in the mid-tier space. So it's not necessarily a new customer overall, but one we're excited to be having, have uptake on the mid-tier codecs and yeah, so that's something we're definitely excited about. So we – there's a couple of variance there as it stands – right this minute, I forget which one is shipping where, but anyway there's a couple of different options there, both of which look like good progress for the mid-tier strategy.
Charlie Lowell Anderson - Dougherty & Co. LLC: Great. And then just in terms of competition, I got a couple of questions related to that. So one is just, Jason, what do you see in real-time in terms of other people having solutions for either ANC or for digital headsets? And then secondarily, your – I guess you could say your largest codec competitor merged with your – buying your largest – one of your largest amp competitors? Any long-term view on them, what that means for the market?
Jason P. Rhode - Cirrus Logic, Inc.: Sure. Yeah. So let's see, I guess I'll take the last one first. I don't have a – I mean who knows? These integrations are very, very challenging. I don't know that the amp competitor was done digesting their last acquisition, so we'll see how that all goes. I mean the reality for us from a competition point of view is that certainly, Qualcomm is the largest competitor we face as it relates to smart codec types of functions. Their chips, that's usually partitioned pretty differently than ours, which makes sense in their case. But at the end of the day, we're just a different proposition. If you're making a phone or some sort of an audio product and you're using our device, it's because you're looking to differentiate versus what they do, rather than wrapping plastic around one of their reference designs, which a good fraction of the market works that way or wants to work that way, and that's fine. But when customers are looking to differentiate on the audio and voice experience, that's where we usually have good opportunities. So, as it relates to amps and just putting the two together, make them tremendously more compelling – I don't see that in the short term. In the short term, I suspect it might not be an amazing place to work for a while. So, we'll see if we can – also, we may see if we can take advantage of that as we still got a fair amount of hiring to do on the engineering side.
Operator: Your next question comes from the line of Blayne Curtis from Barclays. Your line is open.
Blayne Curtis - Barclays Capital, Inc.: Hey, guys. Thanks for taking my question, and great results. Just curious, in your letter you mentioned ANC being a sizeable opportunity next year. You also said there'd be product in the market in the March quarter. I was just curious, in terms of your December guidance, how much ANC business is in that guide or is that more a March ship date?
Jason P. Rhode - Cirrus Logic, Inc.: Yeah. We expect to see products in March, and we're certainly not trying to imply that that's going to take us to the moon or be a huge part of the headset business right out of the gate. Like I said a minute ago, we expect the headset business to be driven in the – nearest term future, be driven by the conversion of basic headsets over to the digital format, high quality digital headsets, in general. But we do expect to see ANC headsets on the market with our solution in the March quarter. So, it's not – certainly not a huge impact in the current quarter. As it relates to ANC, we remain very convinced with a lot of good data that our solution is the best device on the market. There are competitors out there, but they kind of are along the lines of the types of ANC that have been around for years. So, it's – there's certainly – like a lot other products that we sell, there's less expensive ways to solve the problem. We don't think there's anything that's even close to as capable as what we have.
Blayne Curtis - Barclays Capital, Inc.: Thanks. And then you mentioned the MFi reference design and I was just curious as you look at the accessory markets or any way to gauge now the phones have been out for a little bit in terms of the attach rate of customers buying it either additional adapters or other accessories that are powered of the lightning port. Is there any way you can think about what that attachment could be? And then, can you just talk about, it's an exclusive right now for you. Do you envision that you're the only supplier for MFi jack in a reference set?
Jason P. Rhode - Cirrus Logic, Inc.: Let's see. So, yeah, I mean we don't generally participate in things that are – where it's a second source type of arrangement. I'm sure there are folks that can use – there are other folks who could take that module and wrap different mix signal on the other side of it. That frankly, is still good for us. And given our familiarity with the technology, I think we've got a pretty good advantage there. But certainly other folks who are free to take that module and design whatever other sorts of headsets they might design around it, but obviously, we've certainly got a good relationship there and very, very good opportunities. Yeah, sure, sure.
Blayne Curtis - Barclays Capital, Inc.: If I could squeeze in a third. It seems like you're starting to see more and more wireless headsets. I was just curious what you view is your opportunity in those types of devices.
Jason P. Rhode - Cirrus Logic, Inc.: Over the long term, I think it's a good opportunity. The challenge with a lot of the existing Bluetooth headsets is that it's difficult to do stereo well, in particular without wires. Meaning, it's a challenging thing if you give your spouse a wireless headset for Christmas, actually which I don't recommend. But if they're connected together by a wire, they kind of look at it like, oh hey, that's not a wireless headset. And that's a difficult problem to solve with traditional Bluetooth. BTLE, once the BTLE audio spec is ratified sometime in the future, we expect that to change the demand for our wireless headphones pretty radically because it contemplates the notion that the phone has to broadcast to a left and a right ear at the same time. So, some of our customers have means of solving that problem on their own. I think broadly, the market out there currently today does not have a great solution for that. And I believe Bluetooth headphones, broadly speaking, will probably remain fairly nichey they have been over the past handful of years.
Blayne Curtis - Barclays Capital, Inc.: Thank you.
Operator: Your next question comes from the line of Rick Schafer from Oppenheimer. Your line is open.
Rick Schafer - Oppenheimer & Co., Inc. (Broker): Yeah. Thanks guys, and I'll add my congratulations on a great quarter.
Jason P. Rhode - Cirrus Logic, Inc.: Thank you.
Rick Schafer - Oppenheimer & Co., Inc. (Broker): Since we're talking about headsets, I'm just curious if you could frame or compare what Cirrus potential content is in, say, a standard digital headset versus – how big of a step-up is it when you move to an ANC headset?
Jason P. Rhode - Cirrus Logic, Inc.: I mean for overall kind of the interface and codec-type functionality that we provide in the basic digital headset, we've kind of given the color that that's on the order of $1 from us, whereas an ANC codec is more along the lines of $2.50. In the longer term, if we're able to get the full attach with the microphones typically for an ANC headset, you would need five microphones, so at least one independent, if not two for a noise suppression type transmit function, as well as two in each ear bud. So five or six microphones in round numbers of $0.30 per. That's a pretty good incremental ASP increase. And you certainly don't need to use our microphones to use our ANC device, so there's all shades of grey in between those kind of goalposts, I guess.
Rick Schafer - Oppenheimer & Co., Inc. (Broker): Got it. And would it be fair to say, I know you said, you mentioned that sort of the MEMS mic up, the big, the bulk of that's maybe a little further out. I mean, what are some of the bigger, nearer term opportunities? I mean, would it be the standard digital headset? I'm just looking for areas where you guys have had a great content story in the last couple years, sort of what that next leg is if we look to 2017, 2018?
Jason P. Rhode - Cirrus Logic, Inc.: Sure. Well, It's a bit of a broken record because our strategy doesn't change too often. But we're looking for continued success in the digital headset space, initially again driven by the basic digital – the conversion of the basic headsets to digital format. The amplifiers are another big thread for us. ANC, we expect it to do good things for us over time. We're continuing to make progress on broadening out our business in the flagship devices. There's more customers out there either from a smart codec perspective, or we've got a new very high performance D-to-A converter on the market, which in China, there's a lot of interest for a variety of reasons. There's a lot of interest in ultra-high performance audio devices, so we've got a pretty compelling device on the market there. And then of course, migrating all of these things down from flagships to the mid-tier we think is another good thread for us that'll play out over a number of years. Making good progress there but the challenge, of course, is most of the folks that have a meaningful volume of mid-tier handsets, they're pretty fragmented, so it's kind of a lot of base hit type design wins which frankly, is a really nice complement to the business that we have today.
Rick Schafer - Oppenheimer & Co., Inc. (Broker): All right. Got it. And maybe one, if I could it squeeze in for with Thurman. Op margins looked great in the quarter. I mean what's the flexibility there to continue to grow those op margins? I mean, I guess maybe basically how should we think about OpEx growth relative to your top line?
Thurman K. Case - Cirrus Logic, Inc.: Well operating, OpEx is – we'll continue to grow R&D as we move along. We're investing in R&D and that will continue to happen. SG&A we've said will grow slightly over , on a quarter-over-quarter basis in the future, but not nearly at the rate that R&D will be. We will continue to strive to push up our obviously our top line and maintain our margins as high as possible to keep OpEx, operating profit as high as we can.
Jason P. Rhode - Cirrus Logic, Inc.: Yeah I mean, a summary, I'd say we should have good leverage there. I mean, obviously the quarter we just finished, the quarter we're in are kind of the two-ish – two of the stronger quarters in a given year so you wouldn't – if you extrapolated what our op margin might be for the December quarter, you wouldn't want to probably use that for the whole year. But versus the historical kind of run rate on an annual basis – on the annual basis in the 20% range, we hopefully should have some good leverage there.
Rick Schafer - Oppenheimer & Co., Inc. (Broker): Okay. Thanks.
Jason P. Rhode - Cirrus Logic, Inc.: Sure. Thank you.
Operator: Your next question comes from the line Rajvindra Gill from Needham & Company. Your line is open.
Rajvindra S. Gill - Needham & Co. LLC: Yes. Thank you for taking my questions and congratulations on excellent results. I joined a little bit late, so I apologize if the question was asked before. But it seems like there are several vectors of growth as you go into calendar 2017 above and beyond what you're experiencing this year, which was still excellent growth. If we look at the penetration of digital headsets and then ultimately ANC headsets in the Android handset market, a lot of that is dependent on USB-C attach rates accelerating first and then ultimately removing the analog port and then for the headset and putting in a digital headset port. So could you talk a little bit about how you're seeing the penetration in the Android market for digital headsets? And did you agree that this is correlated to – the attach rates for digital headsets is correlated to the USB-C adoption for the interface?
Jason P. Rhode - Cirrus Logic, Inc.: Yeah. I mean the existing, the historical USB mini – I mean or micro, it's just not practically usable as a headphone interface. So yeah, we do see that. We see a tremendous, again a ton of the Android market is composed of varying degrees of fast followers. They know what they're copying now. There's a lot of interest in copying it. And USB-C itself does pose some challenges just in the ways that it's implemented in the handsets themselves, but that's something that our customers are working through and we see good opportunities to grow the USB-C headset side of the headphone business, both for basic digital headsets as well as noise cancellation.
Rajvindra S. Gill - Needham & Co. LLC: And in the amplifier business, you talked about expanding your amplifier business outside of your main customer to Android. Maxim and NXPI kind of remain the dominant audio amplifiers in the smartphone market. You have kind of negligible share. Can you talk a little bit about the dollar content per phone that you can generate as you go into audio amplifier ex your main customer? And any thoughts in terms of how you intend to gain share and what's your cost advantage as you migrate to 65-nanometer from 108-nanometer on the other hand? Thank you.
Jason P. Rhode - Cirrus Logic, Inc.: Sure. Yeah, that ties a whole lot of stuff together for me. Thanks. Yeah. The amplifiers, you can think about them, they vary a little bit but, and there's a slide that relates to that in their latest investor deck on their website. But they're on the order of $0.50 per. Obviously, again on the whole fast follower theme, there's a lot of interest now and amazingly enough in stereo. So that could potentially be a good vector. Amps are something that are, once the amplifier migrated out from the smart codec into being a standalone boosted amplifier, that drags with it the requirement to do really clever stereo, really clever speaker protection, which is kind of what made that product line interesting for us. So, it's really we don't love competing in a space where the only ideas, or the only way we have to differentiate is on cost. We think we've got some good cost leverage given the scale that we're at. But we want to turn up with the best solution, and the best integrated software package and speaker protection package that rolls along with that and sounds great to boot and does, in the case where somebody wants to do stereo does a great job of managing the speaker protection as well as stereo at the same time. So to your point, we are in the middle of migrating our product line down from 180-nanometer to 55-nanometer, which we think gives us a lot of opportunities to embed more and more digital into the amplifiers. We think that gives us a great cost advantage as well as a board space advantage, which becomes even more important when you migrate towards stereo. So, the 55-nanometer migration is a work in progress, but it's going very well, and we're excited about what we think that'll do for our business.
Rajvindra S. Gill - Needham & Co. LLC: Thank you, and congratulations.
Jason P. Rhode - Cirrus Logic, Inc.: Sure. Thanks, Raj.
Operator: Your next question comes from the line of Tore Svanberg from Stifel. Your line is open.
Tore Svanberg - Stifel, Nicolaus & Co., Inc.: Yeah. I just had a follow-up on some of the long-term stuff. You've talked about biometrics or voice biometrics. You also mentioned in your shareholder letter virtual reality headsets being an opportunity. Could you just elaborate a little bit on those two, and is this sort of a 2018 opportunity or is it beyond that?
Jason P. Rhode - Cirrus Logic, Inc.: I mean there is chances for getting these kinds of things designed in, in that timeframe. I mean virtual reality, we have wins in with the existing smart codec product line in various different VR or AR type headsets. None of them are moving enough volume to make a huge difference. But if you've used one though – some of them are pretty amazing. But the one thing, that if you play with them for a while, from my perspective, that jumps out at you is the audio is not, in a lot of cases is not caught up with the video, or doesn't match it perfectly. And gives you kind of that strange sensation where what your eyes are telling you is not the same thing as what your ears are telling you, which can be a little disorienting. So, we think it's a good example of where the usual case for what we can differentiate on. One of them is latency of audio signal processing. So, that's a good opportunity over the long term for us as that market develops. Voice biometrics is out there a little way. That's definitely one of the sci-fi type investments we've made, but – I mean we're making great progress. We still expect to take the device out in the first calendar quarter of the new year. We're targeting a single chip – match-on-chip voice identification device that works very similar to the thumbprint sensors you're familiar with working with today, just it does it with your voice. So a well-architected solution. It fits in with the FIDO type security alliance type stuff. We think we can achieve very similar false accept versus false reject ratios as thumbprint does today. We don't have the illusion that we're going to replace thumbprint sensors in a phone because it's a very, very handy interaction with your phone when it's in your hand. But we do think, as an augmentation for hands-free use cases, it's really valuable versus leaving them unsecured or securing them in a fairly rudimentary way, which is done a lot today. And then, beyond that, voice biometrics, we think, is a really good technology that is along the lines of our strategy of migrating things we've done for phones out into other form factors. So whether that's the connected home or smart accessories where you may not have a screen or a trackpad or some other user interface. If voice is going to be a primary interface, we think having local security to lock the device to the user, it would be a wise thing to have and a really useful bit of functionality for us to add. So, really excited about that. Still out there a ways, but it's on track and something we're driving really hard.
Tore Svanberg - Stifel, Nicolaus & Co., Inc.: Very helpful. Thank you.
Jason P. Rhode - Cirrus Logic, Inc.: Thanks, Tore.
Operator: There are no further questions at this time. Ms. Chelsea Heffernan, I turn the call back over to you.
Chelsea Heffernan - Cirrus Logic, Inc.: Thank you, operator. We will conclude the call with a question that we received via e-mail this afternoon. Given the high guidance for the December quarter, can you provide some color on how we should think of the March quarter?
Jason P. Rhode - Cirrus Logic, Inc.: Well, I can try. Like we said last quarter, our crystal ball gets kind of fuzzy when you get too far out. There's all manner of events between now and then that we don't have any control over. So for those reasons, we don't give guidance further out than that. My advice, if you're just thinking about the range of opportunities for us, if you look at what's happened historically going from the December quarter to March quarter and look over the last handful of years and then model something conservative relative to that, that will probably keep all of it. That still is a great number for us and a great result and ideally we'll keep any surprises on the positive side. So if you're looking out and trying to figure out what the downside might be, that's one way to kind of guard band it and then hopefully all the various things that might happen. Though better than that and we'll all be happy.
Chelsea Heffernan - Cirrus Logic, Inc.: Thanks, Jason. That was the final question.
Jason P. Rhode - Cirrus Logic, Inc.: Great. In conclusion, Q2 was another great quarter for Cirrus Logic as sales of our new digital headset devices as well as boosted amplifiers drove revenue above guidance. We are extremely pleased with our financial performance over the past few years and given the breadth of our product portfolio, a robust product road map and the expanding into band for compelling audio and voice solutions, we believe the company is well positioned to capitalize on a wide range of growth vectors in coming years. I'd also like to note that we will be presenting at the NASDAQ Conference in London on November 30 and the Barclays Conference in San Francisco on December 7. The live webcast of these events will be available at investor.cirrus.com. If you have any questions that were not addressed today, you can submit them to us via the Ask the CEO section of our investor website. I'd like to thank everyone for participating today. Good bye.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. You may now disconnect.